Operator: Good morning and welcome to the Endava First Quarter Fiscal Year 2024 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] As a reminder, this event is being recorded. I would now like to turn the conference over to Laurence Madsen, Head of IR. Please go ahead.
Laurence Madsen: Thank you. Good afternoon, everyone, and welcome to Endava's first fiscal year 2024 conference call. As a reminder, this conference call is being recorded. Joining me today are John Cotterell, Endava's Chief Executive Officer, and Mark Thurston, Endava's Chief Financial Officer. Before we begin, a quick reminder to our listeners. Our presentation and our accompanying remarks today include forward-looking statements, including but not limited to statements regarding our guidance for Q2 fiscal year 2024 and for the full fiscal year 2024, the improvements in the overall headwinds facing our industry, and the impact of such changes on our ability to grow revenues, and in particular, growth and expansion in our industry verticals, our continued business optimization actions, enhancements to our technology and offerings, the impact of adverse microeconomic conditions, and our business strategies, plans, and operations. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those contained in the forward-looking statements. Actual results and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements, and the reported results should not be considered as an indication of future performance. Please note that these forward-looking statements made during this conference call speak only as of today's date, and we undertake no obligation to update them to reflect subsequent events or circumstances other than to the extent required by law. For more information, please refer to the Risk Factors section of our annual report filed with the Securities and Exchange Commission on September 19, 2023. Also, during the call, we'll present both IFRS and non-IFRS financial measures. While we believe the non-IFRS financial measures provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with IFRS. Reconciliation of such non-IFRS measures to the most directly comparable IFRS measures are included in today's earnings press release, as well as the investor relations, both of which you can on our investor relations website site or on the SEC website. A link to the replay of this call will also be available on our website. With that, I'll turn the call over to John.
John Cotterell: Thank you, Lawrence. I'd like to thank you all for joining us today and I hope you're all well. We're pleased to be here to provide an update on our business and financial performance for the three months ended September 30th, 2023. We reported revenue totaling GBP188.4 million for Q1 of our fiscal year 2024, representing a 0.6% year-on-year decrease in constant currency from GBP196.2 million in the same period in the prior year. Sequentially, revenue was up by 0.2% in constant currency on the previous quarter. We ended the quarter with an adjusted profit for tax for the period of GBP29.8 million, representing a 15.8% adjusted profit for tax margin. On our last earnings call in September, I mentioned that we're inherently conservative, but are seeing real signs of improvement, which should impact our second-half of fiscal year 2024. Whilst the world has become more unstable over the past two months, we continue to see sizable new opportunities entering and progressing through our funnel, as well as new assignments commencing and scaling. I will shortly go through some case studies, and a number of these illustrate work, which starts small and ramps as we move to production environments. Mark will come to our guidance later, which we have broadly maintained on the basis that the uplift in the second-half continues to firm up. We continue to prioritize our efforts on larger relationships that can grow and scale. We have a total of 145 clients, each paying us in excess of GBP1 million per year in the quarter just ended, compared to 140 in the same period last year, representing nearly a 4% year-on-year increase. Additionally, we had 33 clients, each paying us in excess of GBP5 million per year in the quarter just ended, compared to 25 in the same period last year, representing a 32% year-on-year increase. Over the last several years, we've seen an interesting trend emerge with many of our customers. The proliferation of application programming interfaces, or APIs, are the common building block for modern products and services has opened the door to a new way for companies to interact with their partners and customers. Many of these companies have begun extending functionality externally that would historically have been reserved for use inside their organization. An example of this is embedded finance, where financial services products are made available to other organizations. This has meant that companies and industries, including health, retail, automotive, tech, logistics, and insurance have all started to embed financial services products into their customer journeys. For these businesses, this often provides new revenue streams, wider value-added services and often increased customer retention. For the end customer this is manifested in experiences such as being offered an instantaneous loan at the physical point of sale and buying from a retail, being offered temporary insurance when taking a scooter ride, being able to see real-time availability of parking spots to reserve and pay for them directly from a mobile app, or being able to have your car infotainment system store your payments credentials and automatically pay for tolls as you pass by a checkpoint. All of these are real world examples of solutions that Endava has helped our clients build. Endava is finding opportunities to help the providers, build their embedded finance solutions, but also with the businesses across many industries, who are embedding these services into their customer journeys. Endava's experience enabled us to engage very early to help establish strategy, build proof-of-concepts, and then integrate and develop production systems. Digging a little deeper, the emergence of payments as a service, as a subset of the use cases under the embedded finance umbrella has played particularly well to Endava strengths and rich history in the payments and financial services space. Our deep expertise in building large scale payment systems and integrating with major payment providers across the world has made us a go-to partner for customers looking to incorporate payment services into their businesses. Additionally, many of the creators of those payment services are banks or other financial institutions that Endava also has strong experience supporting. Our unique position in the payments industry has allowed us to help customers in retail, media, logistics, transportation and many other industries design, build and integrate key financial services technology to enable their payments, lending and issuing as a service products. Today, I'll highlight some of the projects we're working on in embedded finance. In the mobility space, we are working with a global car manufacturer, which had first embedded their first generation of payment services into both the app and the in-car experience, allowing consumers to seamlessly pay for services such as fuel, parking, or charging from their car. Endava was initially approached to consult on how to build an embedded payments ecosystem in order to expand the client's presence globally and to allow it to interact with a vast network of external parties. We advised the client on how to streamline their platform by building a robust and scalable architecture, how to integrate to the complex network of payment partners, and how to commercially structure the proposition across multiple geographies. The project evolved, and Endava is now working on building the client's new target state platform, including payments orchestration as a unifying component, which will enable the addition of new components as the client expands globally. Building on this experience, we continue to find and help other global automotive OEMs, who are seeking to engage with their customers and discover new embedded payment revenue streams through strategic consulting and downstream execution. In the healthcare space Endava has been working with a U.S.-based company that provides a comprehensive suite of practice management, electronic record-keeping, patient engagement, billing, and collection solutions to medical practices. The suite of services includes an arrangement with their payment processor, whereby the client embeds their products and services, including pulse terminals, web-based payments, and so on for costs borne by patients. With their existing payment processing model and processor arrangements, they were unable to take advantage of increased payments revenue. Endava provided a payment strategy, financials, and operational processes that allowed our client to add net new recurring revenue streams to their business. In the insurance space, Endava has been developing the new gold standard in customer experience for one of the largest healthcare insurers in North America. We are engaged to take a holistic look at the infrastructure and member experience and create the vision and roadmap for member experience, including embedded payments. We are now working with the new ecosystem partners to create the implementation plan and execution strategy for 2024. This includes a new payment gateway to deliver a new modern payment experience to their members. In the payment space, we are working with Paytrix, a startup company based in the U.K., to assist with the greenfield development of their product. Realizing the increasing need for efficient B2B payments and support for increasingly complex geographical routes, they wanted to introduce a product that would enable smooth integration from leading financial services providers worldwide through a single contract and API. The objective is to offer a straightforward and adaptable solution that unlocks access to a diverse ecosystem of providers. The benefits would translate into a service that platforms could use to seamlessly embed complex payments transfers and allow them to easily expand into new geographical markets. We used our payments and architecture expertise to identify the overall business requirements and help the client with the product ideation and discovery. We helped design an enterprise-level architecture that is intended to be reusable and scalable. A minimum viable product was developed and launched within five months. It enabled real-time transactions with an internal back office for staff members and an external user interface for end customers. Also in the payment space, we formed a strategic partnership with Stripe, which marries industry-leading product capabilities that are best-in-class engineering capabilities. Stripe has been a pioneer in embedded finance, offering the ability for merchants to use their services to collect payments and even offer cards to their customers. However, global platforms are complex and require industry-specific expertise. Working in collaboration across insurance, automotive, banking and gaming Endava helped bring Stripe's vision to life. Recent examples include our work in the automotive industry to enable an industry-first peer-to-peer marketplace, allowing users to create their own revenue streams from their car, whilst also providing a more carbon neutral option to people running multiple cars. A leading European payment Fintech, which provides services to address the needs of the rapidly growing B2B marketplace, was facing strains due to its rapid growth. The client services over 2,500 leading platforms and marketplaces. To support its growth, the client needed a partner that would transition their current infrastructure to a modern, scalable, and globally transportable cloud approach, whilst not jeopardizing their regulated status. Endava was selected as their provider of choice, both financial services and AWS expertise. The migration of both staging and production was done successfully on an extremely tight deadline of less than four months, enabling the business to continue to grow without service interruption. We helped a U.K. payment platform define and develop a scalable and modern embedded finance product. Their vision was to offer a tailable and fully embedded finance experience into their customers' website. The service offers merchants access to multiple lending partners from a single user experience, enabling the offering of tailor-made lending options to meet a range of different market requirements. The product we built allows for a complete consumer journey with lender-specific loan products, soft eligibility checks, and account creation. We're also building for them a merchant service portal, as well as a lender servicing portal allowing for the full merchant journey assisting with onboarding flows, know your customer, know your business and anti-money laundering checks. The flexibility and scalability of this platform allows our client to quickly adapt to ever-changing market demands. Endava has been working with Explore Technologies, a global platform integrating virtualized SaaS solutions and embedded payments to help everyday life businesses succeed. We helped them to enhance their U.S. payments platform to enable them to serve a more global market by migrating to Azure Cloud and developing a new payment processing capability for the U.K. and EU. The global payment platform now allows for automated merchant onboarding and reconciliations and is supported via application program interfaces, software development kits for web and mobile, as well as native payment app technologies. With our support, Explore Technologies is solidifying its position as an industry leader in seamless software and embedded payment solutions for businesses in the early education, fitness, and well-being and field services verticals. On the technology side, we continue to see demand for experienced-based capability in the generative AI space. Increasingly, our conversations are moving beyond simple internal use cases, and instead moving to a requirement to industrialize and harden proof-of-concepts, and then readying them for enterprise deployment. As we continue to have more in-depth conversations with our clients about the benefits from AI of manual efficiency, process augmentation, and autonomous agents, we are increasingly using our internally developed AI platform to rapidly demonstrate how our clients can benefit from these powerful tools. Following a recent conversation with a client, rather than simply responding with a presentation of our recommendations, our team built a working solution using simulated data that directly fits into the client's workflow. As this was developed on our platform, we could also demonstrate how this technology can be deployed into an organization rapidly, whilst knowing that the solution will scale with future usage patterns. This approach shows how leveraging AI technology within our teams can have a rapid impact on our sales cycle and customer satisfaction, as well as delivering more than just a standalone proof-of-concept. Enterprise systems utilizing the latest AI technologies are also demonstrating a requirement for new ways of working and expertise. Similar to how clients better DevOps ways of working to best leverage cloud computing, we are seeing the need to consider AI workloads and the requirement for model management, forced feedback, monitoring, and so on, requiring an evolution of DevOps way of working, which we are calling MLOps. It is this holistic view of how to leverage new technologies that places Endava at the heart of clients' emerging AI journeys. Regarding our recent acquisitions in Asia Pac and the U.S., the integration process is progressing smoothly, and I'm excited about the prospects for our expanding global footprints. As we work towards achieving our Vision 30, we recently introduced one Endava, a leadership program built around delivering career growth, growing leaders, and fostering a culture of diversity and belonging. For the last three years, Endava wellbeing has supported our people through a wealth of resources, master classes and workshops organized around four pillars, mind, body, home and community. We're committed to expanding the support we offer to ensure wider relevancy to our diverse global community. In celebration of World Mental Health Day, we launched online well-being retreats, providing an immersive experience for renewed energy and focus. Additionally, we recently received the EcoVadis Silver Medal for 2023. This places us in the top 25% in our industry and in the 85th percentile for all companies for integrating positive ESG practices across our business. Improving on the bronze medal we received in 2022, this achievement recognises our ongoing commitment to making a positive impact in supporting our people, customers and the communities where we operate. We ended the quarter with 11,761 employees, a 2.5% decrease from 12,065 in the same period last year. In the current environment, our recruitment is focused on areas of demand, as well as continuing to strengthen our sales and marketing team. I'd like to take this opportunity to thank all Endavan’s for their loyalty and determination over the past quarters, as we have persevered through recent headwinds. We will continue to manage the business for the long-term, maintaining our culture and organizational health and creating exciting solutions for our clients and their customers. Despite the recent challenges, based on our conversations, we believe clients' activities in exploring and commissioning new products will overtake the headwinds of recent quarters and see us return to growth. I'll now pass the call on to Mark, who will walk you through our financial results for the quarter and provide guidance for the coming quarter and the fiscal year.
Mark Thurston: Thanks, John. Endava's revenue totalled GBP188.4 million for the three months ended September 30, 2023, compared to GBP196.2 million in the same period in the prior year, a 3.9% decrease over the same period in the prior year. In constant currency, our revenue declined 0.6%, which reflects a 7% positive inorganic contribution during the quarter. Sequentially, revenue was up by 0.2% in constant currency on the previous quarter. Profit before tax for Q1 fiscal year 2024 was GBP17.3 million compared to GBP38.6 million in the same period in the prior year. Our adjusted profit before tax for the three months ended September 30th 2023 was GBP29.8 million, compared to GBP39.5 million for the same period in the prior year. Our adjusted profit before tax margin was 15.8% for the three months ended September 30, 2023, compared to 20.1% for the same period in the prior year. Our adjusted diluted earnings per share was GBP0.39 for the three months ended September 30, 2023, calculated on 58.4 million diluted shares as compared to GBP0.54 for the same period in the prior year, calculated on GBP58.1 million in shares. Revenue from our 10 largest clients’ accounts for 35% of revenue for the three months ended September 30, 2023, compared to 33% for the same period last fiscal year. Additionally, the average spend per client from our 10 largest clients increased from GBP6.4 million to GBP6.5 million for the three months ended September 30 of 2023, as compared to the three months ended September 30th 2022, representing a 2.3% year-over-year increase. In the three months ended September 30 2023, North America accounted for 30% of revenue, compared to 35% in the same period last fiscal year. Europe accounted for 25% of revenue, compared to 22% in the same period last fiscal year. The U.K. accounted for 35% of revenue, compared to 40% in the same period last fiscal year, while the rest of the world accounted for 10%, compared to 3% in the same period last fiscal year. Revenue from North America declined 15.6% for the three months ended September 30, 2023, over the same period last fiscal year, comparing the same periods, revenue from Europe grew 8.8%. The U.K. declined 16.0% and the rest of the world grew 180.2%. Starting this quarter, we are providing additional granularity on our vertical mix. Revenue from payments declined 14.7%, the three months ended September 30, 2023, over the same period last fiscal year, and accounted for 27% of revenue, compared to 30% in the same period last fiscal year. Revenue from banking and capital markets or BCM declined 14.4%, the three months ended September 30, 2023, over the same period last fiscal year, and accounted for 14% of revenue, compared to 16% in the same period last fiscal year. Revenue from insurance grew 32.3% for the three months ended September 30th, 2023 over the same period last fiscal year and accounted for 8% of revenue, compared to 6% in the same period last fiscal year. Revenue from TMT declined 1.9% for the three months ended September 30, 2023, over the same period last fiscal year, and accounted for 23% of revenue unchanged from the same period last fiscal year. Revenue from mobility grew 6.7% for three months ended September 30, 2023, over the same period last fiscal year and accounted for 11% of revenue, compared to 10% in the same period last fiscal year. Revenue from other grew 4.7% for the three months ended September 30, 2023 over the same period last fiscal year and now accounts for 17% of revenue, compared to 15% in the same period last fiscal year. Our adjusted free cash flow was GBP16.0 million for the three months ended September 30, 2023, compared to GBP21.8 million during the same period last fiscal year. Our cash and cash equivalents at the end of the period remained strong at GBP168.2 million at September 30, 2023, compared to GBP164.7 million at June 30, 2023. Capital expenditure for the three months ended September 30, 2023, as percentage of revenue was 0.4%, compared to 1.7% in the same period last fiscal year. Now turning to our outlook for Q2 and the full-year fiscal 2024. As John mentioned in his remarks, we continue to see sizable new opportunities entering and progressing through our funnel, as well as new assignments commencing and scaling. So in that regard, the guide is little changed than initially outlined on our last earnings call. We still anticipate an uplift in revenues, starting in Q3 of fiscal year 2024 with recovery to historic levels of growth and profitability by Q4 of fiscal year 2024. With that context, let me now turn to the guide. Our guidance for Q2 fiscal 2024 is as follows: Endava expects revenue will be in the range of GBP184 million to GBP185 million, representing constant currency revenue decrease of between 8.5% and 8.0%. Endava expects adjusted diluted EPS to be in the range of GBP0.28 to GBP0.29 per share. Our guidance for the full-year fiscal year 2024 is as follows: Endava expects revenue to be in the range of GBP791 million to GBP805 million, representing constant currency growth of between 1.0% and 2.5%. Endava expects adjusted diluted EPS to be in the range of GBP1.59 to GBP1.60 per share. This above guidance for Q2 fiscal year 2024 and the full fiscal year 2024 assumes the exchange rates on October 31, 2023, when the exchange rates was 1 British pound to 1.21 U.S. dollar and 1.15 euro. This concludes our prepared comments. Operator, we are now ready to open the line for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Ashwin Shirvaikar of Citi. Please go ahead.
Ashwin Shirvaikar: Thank you. And thank you for all the incremental details with breakdown that you provided. I guess the first question, I have is with regards to the higher visibility that you seem to allude to, is there a way to perhaps quantify that in terms of how much is already contractually lined up, so to speak, versus how much more needs to get sold and get ramped? And then a related question is, obviously, in the last fiscal year, you had a couple of very idiosyncratic impacts to your revenues, for example, FIS in the PE situation, if you can provide an update on what's included in your outlook as it relates to those?
John Cotterell: Yes, thanks Ashwin. I'll just give a little bit of headlines to frame it and then Mark will come in with a little bit of detail. So from a client point of view, we're basing it on our sort of historic visibilities that we've had coming through the pipeline. Now that's always been a mixture of contracted business, committed business, and pipeline business that's coming through. And we're following the normal patterns that we've had in terms of assessing that. Now, what we're seeing and what we were reporting last quarter and continue to see growing is quite a lot of strength in terms of new opportunities coming into the top of the pipeline and advancing through the pipeline. And it's based on those with appropriate levels of probability, using the same ones as we've applied historically, that we're basing the uplift coming through in the second-half of our financial year, so we followed the normal pattern. I think to frame it, we essentially see a pre-COVID world returning. It's highly competitive as it's always been, but it's a context where we do well as a business with the opportunities that are coming through with our differentiated products and services to clients. And it'll take a while to work out of a system the nine months or so of pause in client decision-making, which is what's essentially created headwinds for us over the past three quarters. But as that works through, we see the normal patterns coming through in the pipeline that we're seeing coming through our system. Mark, any more color on there?
Mark Thurston: Yes, I think just to back up what John was saying, we forecast business bottom up every month. We scrutinize the pipeline and the conversion rates from contracted into committed. The pipeline is firming, which means it becomes a smaller proportion of the guided revenues for Q3, Q4. So the contracted and committed revenues is stepping up as a proportion from the previous guide. And then if you -- I think you asked about the in the idiosyncratic elements previously as well, so like MasterCard and FIS. So again, we have not changed any of the assumption that we had there, which is basically that MasterCard was going to step down in terms of activity in Q2, which is embedded in the guide. It's no different from the initial guidance, and we relatively flat as we go into the second-half, as we pivot onto new types of work with them. And again, with FIS, basically we are flatlining that in terms of the outlook, and that is no different from what we said last time, although with the change in ownership, we would anticipate that we would get additional work with them, but we have not factored that into the guide. And then the final point I think you touched on PE, again we have not changed that assumption that we had in the initial guide, which is basically that PE business for us will be flat throughout the year.
Ashwin Shirvaikar: Appreciate that. And then the second question is with regards to headcount -- in the quarter headcount down sequentially. Obviously, you have pretty meaningful sequential growth in the second-half of the year? How quickly can you pivot, I guess, headcount to go to appropriate levels of headcount increases when you see the demand come through?
John Cotterell: So we would expect to be able to ramp the headcount pretty much a month or two ahead of the projects that are coming through. In the current environment it isn't as tough as it has been historically to recruit and bring good people in. If it starts to toughen up, you know, we will just ramp ahead of that. It's pretty easy for us to respond as we have done over all of the years of growing the business on ramping headcount alongside the demand from clients. And we don't anticipate being able to do that as we go into the second-half. But in Q3, we still have a bench which we would burn through, so it'll be a Q4 issue as it emerges.
Ashwin Shirvaikar: Understood. Thanks, and congratulations. Good work.
John Cotterell: Thanks, Ashwin.
Operator: The next question is from Bryan Bergin of TD Cowen. Please go ahead.
Zack Ajzenman: Hi, thanks. This is Zack Ajzenman on for Bryan. First question we have was on the demand side. Can you maybe provide some more color on these larger deal opportunities that support your optimism in the second-half of the year? Are there certain common factors driving this influx of activity and how would you characterize the pace of these deal ramps versus more normalized times?
John Cotterell: Yes, so, I mean, we're seeing it in a number of areas. The pace and the demand actually is strong, compared with our pre-COVID situation. But we maintain an element of conservatism, just given what's happening in the wider macro. The sorts of things that we're seeing coming through are our traditional digital transformation services. I touched on a whole bundle of those around the embedded finance area in my opening remarks, and we're certainly seeing a lot of activity coming from that. We're also seeing platform transformation type work where clients have ended up with multiple platforms and they're looking to get some economies out of consolidating those, perhaps pushing them a little bit harder into the cloud space with some of the benefits that come from that transition, a little bit more than the lift and shifts that one has seen historically. So those are the big areas where we're seeing a step up. I think another aspect is there is definitely some supplier consolidation going on in the market. And we are being a beneficiary of that in seeing some of that consolidation come our way. That's probably a new thing for us. That didn't really occur for us pre-COVID. Just weren't at the scale where we were picking up that sort of step-up. But we've seen quite a lot of activity with clients where they're consolidating and we're benefiting from it.
Zack Ajzenman: Got it. And shifting to margins, so it looks like there were some upsides in the quarter. What were the drivers here? And how does it inform your view over the coming quarters?
Mark Thurston: Yes, so the gross margin was basically the driver of it. So we had slightly better revenue that fell through to the bottom line. The gross margin was better than anticipated. Utilization was slightly up, so gross margin was better than anticipated. And we spent marginally less on SG&A as well. So the EPS against the guide was up quite significantly, but the main drivers being sort of gross margin to do that. But having said that, given the guide for Q2, we do see further gross margin compression, which is what we guided at the end of our fiscal ‘23 back in September. So it is anticipated that we get that and basically that is further sort of bench that we're carrying and investing in as we get ready for the pick-up in demand that we see in the second-half. And we continue to invest as well in SG&A, mainly in our sales and marketing area, but also in our integration work that we're doing in Asia Pacific with our newly acquired businesses. So there's no real change in the margin profile that we outlined at the time of giving guide to Q1.
Zack Ajzenman: Got it, thank you.
Operator: The next question is from Maggie Nolan of William Blair. Please go ahead.
Maggie Nolan: Hi, thank you. Maybe just to build on that margin question a little bit, as you're starting to think about some signs of stabilization or improvement and you think about maybe beyond the quarter that you just commented on, what are some of the levers that you're going to start to push on to drive those margins back up to your long-term levels, and do you think margin will recover in conjunction with, kind of, demand and revenue recovery, or do you expect a lag a s you start to see that demand?
Mark Thurston: I'll start and then John can comment. I mean, I think things are stabilizing, despite there being some unstable times. But the recent history in terms of our rate per day has been new to, we haven't seen much weakness in it. It's a mixed picture at the moment. But it's basically sort of stable. And part of the recovery that we see, and it's probably beyond this fiscal, will be the pick-up in the day rate as demand sort of recovers. But whilst we're waiting for that to come through more strongly, it’s looking at the cost of the business, mainly through delivery and the wage costs that we have in the business. So we have to make sure that we balance the demand that we see and affordability in the marketplace with the levels of pay awards that we're making. So we're going to be vigilant on that. And again, we are going to play close attention to SG&A. We are investing at the moment basically in our sales activities to grow us for when the recovery comes. But we will continue to watch that. So I think as we grow out of this fiscal year, and particularly get back to normal sort of run rates or more normal by Q4, that we will build a gross margin back to the levels that we've seen historically, which is high-30s, and then get that leverage over SG&A.
John Cotterell: Yes, I think the big step up from where we are now into the second-half will be as we drive utilization higher. We're carrying a substantial bench, compared to our historic levels, which we've hung onto on the basis of the work that we see coming through. And as we deploy those people, we'll see the gross margin move back up as Mark has outlined and then cascade through to sort of the EBITDA levels that we've had historically.
Maggie Nolan: That's helpful. Thank you. And then I know you commented on FIS and MasterCard specifically, but could you talk a little bit more broadly about spending and demand trends at your payments and FinTech clients, any differences that you're seeing between the U.K. and Europe and the U.S. And what expectations for these groups you've factored into the full-year guidance?
Mark Thurston: In terms of, there's little change from the initial guidance actually. I mean, payments is going to be a tough year for us. So, year-on-year, we'll see a decline of something like 14% we think. But that hasn't changed from the outlook from Q1. Again, I think the banking capital markets will be sort of stable. Again, we haven't seen any sort of change from that outlook. But insurance actually looks like a relative sort of bright spot. TMT is slightly weaker than anticipated, but it's just at the margins. And that is actually across most of the geos, whether it's North America, U.K. and Europe. And again, we're not really seeing much change in terms of the geo outlook. I think North America will start to recover more strongly than the U.K., actually if you look at it quarter-on-quarter, but it will still not be a sort of strong year for North America in terms of year-on-year growth. And so there's no real change in what we were saying eight or so weeks ago in terms of that color.
John Cotterell: Just a couple of things to add to that, we -- the dynamic, as we see it, is much more sector-driven and geo-driven. So the sector fluctuations are driving what's happening in the geo rather than the other way around. So Europe has been relatively strong, largely because of the geos are strong in Europe rather than because of macro what's happening in Europe. The other thing is we're talking about payments going down as a vertical, but actually if you look at what we're doing as a business, it's because it's becoming more of a horizontal. And some of those services that we were talking about getting embedded into the solutions that retailers and so on are offering means we're still pretty busy from a payments point of view is just going into other verticals. And actually that's a real strength for us, because it helps us to break into other verticals with quite strategic conversations with clients. And then we're able to build out from that as we expand into other verticals outside of our traditional strength in the financial services space.
Maggie Nolan: Thank you.
Mark Thurston: Thanks, Maggie.
Operator: [Operator Instructions] The next question is from Bryan Keane of Deutsche Bank. Please go ahead.
Nate Svensson: Hi, this is Nate Svensson on for Bryan. I was hoping that you could give us an update on how the Mudbath and DEK acquisitions are performing versus your expectations when you made those acquisitions? So how is integration work going and then maybe how do you feel about the long-term opportunity ahead of you in APAC? And then relatedly, I think you mentioned that inorganic contribution in the quarter was 7%. Just wondering if you'd give us an update on the expectation for inorganic contribution for the remainder of the year?
John Cotterell: Yes, so the deals that we've done in Asia Pacific are all going very well. The Lexicon one from last, well, just over 12-months ago. Mudbath and DEK, both settling in well, actually seeing growth coming through with their existing client base, but also winning new business. So, you know, we feel we've established a very strong position rest of the world. You can see it's up to 10% of our revenues now. The team is coming together really strongly. And we see great opportunities that convert into organic growth in that part of the world. Obviously, with DEK as well, we got the Vietnam delivery capabilities. And we're starting to deploy that into some other Endava clients, and so spreading our footprint from the Central Europe and Latin America capability that we have historically. Vietnam, in particular, we're seeing demand from some of our global clients, who were keen to have services in the Asia Pacific arena and those clients are following through on their asks before we did the deal and actually starting to put teams together in that part of the world. So it's executing well. We're very pleased with it. Mark, did you want to put some color on the inorganic?
Mark Thurston: Yes, yes. So you're right, Nate. 7% in the quarter was the contribution from M&A. It will diminish as we go through the year, as we do the full 12-month cycle on them. So for the full-year, similar to what we said last time, contribution from M&A will be about 5% of the 2.5% cost and currency in the guide.
Nate Svensson: Got it, all very helpful. So I don't think there's been a question in the Q&A on generative AI, so I will take the opportunity to ask that one, so can you tell us, like how much of the sales activity and pipeline that you're seeing is explicitly AI-related. I know some competitors in the space have talked about a lot of activity, but sort of not a lot in terms of actual bookings and booking size? And then also in your prepared remarks, you mentioned your internally developed AI platform. So maybe can you give a little more color on that platform and what differentiates it from other platforms that you see in the market? Thank you.
John Cotterell: Yes, so thanks for that. Congratulations on the first question on generative AI in this call. Yes, we're seeing a lot of interest, a lot of conversations in the market. I think similar to other organizations, the challenge has been converting those into scaled projects. And one of the reasons for taking you through our internally developed platform is that is all about how you convert the ideas and the opportunities from generative AI into enterprise-scale deliverable solutions. So our platform essentially uses existing open source and fast solutions. So we're not creating the generative AI capability. But we're putting those onto a platform that actually enables well-engineered solutions to be put together very quickly and in a fashion that could be integrated into an enterprise environment and therefore enabled to scale. And I think it's that engineering capability which is going to be crucial to actually seeing these opportunities and these solutions brought to life and scaled in clients, which is why we've invested in that space and brought it to life. It also has benefits in the sales cycle, in the sense that we're able to sandbox very quickly solutions that relate to client workflows and actually bring those to life rather than some sort of PowerPoint, this is what could be done type discussion. And that helps clients go down the learning curve of value generative AI and how it can impact their organization. So that's why we call that out. We like the phrase MLOps that brings to life the engineering related to putting these machine learning capabilities into client solutions, similar to the DevOps capability that got built around implementing cloud solutions.
Nate Svensson: Thanks, appreciate the color.
John Cotterell: Thanks.
Operator: The next question is from James Faucette of Morgan Stanley. Please go ahead.
Antonio Jaramillo: Hey, guys. Good morning. This is Antonio Jaramillo on for James Faucette. I have one question. I'm just curious if you guys could more broadly talk about your capital allocation strategy going forward? I know that, like you guys have had a concerted effort in the APAC region and just curious on that first?
John Cotterell: So the broad principle is that, you know, we've looked at buybacks that concluded that actually we're better conserving our capital for the right M&A opportunities. M&A that is going to push us down that diversification route. We're still -- for many years ago, diversifying out of financial services and out of the U.K. And we continue to push on that M&A is one of the really helpful routes to achieving that diversification. So our capital focuses around using that to drive M&A. And the areas that we're particularly keen to grow on are the U.S. at the moment, but also some of the countries in Europe where we don't have a presence as we see opportunities there. So that's what we'll be focusing on in terms of where we put our money.
Antonio Jaramillo: Got it, that's all very helpful. And then for my second question, I know that you had mentioned that in your guide, you're sort of flatlining your private equity activity, but have you seen any meaningful activity in that group? And if you could touch on that, that'd be great?
John Cotterell: Yes, so I mean, the PE space, our approach to market is that we have a diligence business that engages with PE’s early in their diligence process around acquiring businesses. And through doing that, we help them frame their investment thesis and what they want to do from a technology point of view, as well as all the other aspects of why they're buying the business. And through that, that then leads to downstream work as we help them execute on those transformations. Now, that's actually been pretty quiet. The last three or four months, we have seen a significant pickup in that diligence work and some of those deals getting executed upon. Now it is a long cycle sales process, because we work with the PE's in shaping the investment thesis. They then execute on the deals. They normally have some work that they want to do with the management teams in terms of shaping the strategy up around that investment thesis. And then putting their business cases together and then executing on it. So it can be six, 12 months downstream before that work starts to come through. But we're seeing those early signs of activity in terms of deals happening and that work going on. We wouldn't expect it to have a significant impact on this financial year, but it's a good sign for the next financial year.
Antonio Jaramillo: Perfect. Thanks, guys.
John Cotterell: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Cotterell for closing remarks.
John Cotterell: So thank you all for joining us today. We're excited about the market opportunities over the medium to long-term from all of the technology waves that continue to emerge, some of which we've outlined on the call. We're gearing Endava to continue as a leader as these tech waves gather strength and look forward to speaking to you on our next earning call in February.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.